Operator: Welcome to the Cogeco Inc./Cogeco Cable, Inc. Q3 earnings conference call. (Operator Instructions) At this time I would like to turn the conference over to Mr. Pierre Gagné, Vice President and Chief Financial Officer.
Pierre Gagné: I have with me Louis Audet, our President and CEO; Alex Tessier, our Treasurer; Éric Simon, Director of Financial Planning; and Marie Carrier, Director of Communication. Before we begin the call I just want to mention to everybody who are listening or will listen to this call in replay. This call of course is subject of course to the Safe Harbor Provision with respect to the forward-looking statements and we would suggest that you consult the forward-looking statement that is included in the press release that is going together with this call. So I will now turn this over to Louis who would like to make additional comments to our press release.
Louis Audet: We have been extremely fortunate to enjoy another outstanding quarter at Cogeco Cable for the third quarter. You’ve seen the sales are up 14.3%, EBITDA up 20%. We have managed to increase our EBITDA margin by 2 percentage points to 42.7 and this is really based on a continuous improvement of our processes and free cash flow totals $77.8 million after three quarters. We’ve managed to add close to 51,000 revenue generating units during the quarter. In Canada we have been fortunate to benefit from an environment that is conducive to consumers buying our products and in the process we have managed to increase our margin. In Portugal, the situation is extremely competitive. While prices, as I had discussed in our last conference call, have stabilized at a decent level, [hurt lees], ZON Multimedia, and Portugal Telecom are outspending each other on advertising levels, weights that in our view are not sustainable in the long term. So this has not been a good time to work on customer acquisition, hence we have spent a lot more energy on improving our performance internally and as you have seen it’s worked because our EBITDA is up 27.8% and our EBITDA margin has risen from 32.7% to 37.7% so we have done remarkably well in the circumstances. You have noticed that our 2008 guidance remains untouched. You have seen our 2009 guidance which calls for EBITDA of $495 million and free cash flow of $105 million. A brief word now on Cogeco Inc. Our radio operations continue to do well and perform as announced last April and our guidance for 2009 is for net income of $42 million. I would now like to say a few words about our recent acquisitions and perhaps provide clarification because I have received a number of inquiries and hence would like to provide a little more detail. We make it our duty to seek out and find sources of profitable growth for our shareholders, hence our decision to acquire telecom assets recently put up for sale by Ontario Electrical Company, hence the acquisition of MaXess in Windsor and FibreWired in Burlington. These two cases are characterized by the fact that they are within our cable footprint. We were vigorously competing with them prior to the acquisition. They involve some data customers, a lot of small business customers, and this is a story both of synergy because we integrate them into our existing networks, and growth, some large, but more medium and small businesses. Turning now to Toronto Hydro Telecom, soon to be rechristened Cogeco Data Solutions, here is a story of a business that is outside of our cable footprint that is totally complimentary in every way. It’s a business that caters solely to large business customers. It is focused on large business customers, and it owns a ubiquitous, very underutilized network that serves the largest business market in this country, which is downtown Toronto. This in fact for us is not a synergy story at all. It’s a growth story with strong sales and EBITDA growth in the last four years, projected to continue in the future, and we will assist management and support them in achieving a continuation of the great job they’ve been doing today. By the way, we have not given up on cable system acquisitions, but as we have mentioned now for a few quarters, the market is extremely quiet right now, and hence there has been no new developments in that regard. As we look at Portugal, despite the current high competitive level of competition, the fundamentals that drew us to Portugal are still there, in a market in which only half of the households have taken up the video service, a market in which only 45% of households currently own a personal computer, and hence there is immense growth left in that marketplace over a longer horizon and the fact that there are disruptions at this juncture in time should not be viewed as a sign that there will not be future growth; quite the contrary, we are managing to balance the act when it’s the right time for acquisitions we acquire customers, and when it’s the right time to work on our processes, we work on our processes, and I would say so far so good and this market holds great growth potential for the future. So that completes my comments for now and we’d be happy to answer your questions.
Operator:  (Operator Instructions) Your first question comes from Greg MacDonald – National Bank Financial.
Greg MacDonald - National Bank Financial : Question is on Portugal, ZON issued a profit warning earlier this month. Their CFO also talked a little bit about the possibility of strategic activity i.e. M&A activity in the market, even mentioned Cabovisao, they’ll recognize that might be a regulatory hurdle and that you are in fact not interested in selling, which I suspect is true. I’m wondering, though, it appears that they are recognizing the limits of their aggressive pricing strategy and you hinted that pricing has stabilized. In addition to that, if I can draw a conclusion, do you think that there would be any opportunity with ZON to do property swaps or system swaps or anything on a strategic basis that might allow each of you to end up with less overlap then what is the case right now, or are there any M&A activity opportunities in Portugal that might allow you to address the competitive situation?
Louis Audet: Well, that’s an interesting thought. I don’t think we’ve looked at it that way. For sure, there would be regulatory issues that would have to be worked on and better understood and if possible ironed out but to tell you the truth, what we’re witnessing right now are two players who have separated from each other last November but who started really getting at each other’s throats not last November but the prior summer, and they have bent over backwards to demonstrate to regulators that they are now two independent competitive units but they’re so busy right now dealing with each other that I doubt very much that their minds are prepared for fine-tuning. Now when I say that, I haven’t asked anyone, so it’s just a personal opinion at this stage. I don’t think the players can, and this applies to both of the larger players, I don’t think they can contemplate much longer their stock prices being as severely depressed as they are as a result of the marketing strategies and approaches they have selected and hence I think in the not-too-distant future, although our budgets and guidance are not premised on this assumption, not premised on this assumption, I nonetheless believe that eventually they will have to change something to the way they market their services and price their services to generate appropriate returns to their shareholders, and most of all, recover the share prices that they once enjoyed.
Greg MacDonald - National Bank Financial : As a quick follow on, they also think that they can continue to do acquisitions which is questionable given the concentration issue, but does that not mean that Cabovisao has the opportunity perhaps to do some acquisitions within Portugal that wouldn’t show up on the radar screen of the antitrust guide, and wouldn’t that be an opportunity for you to further consolidate and therefore get some scale benefits?
Louis Audet: Beyond ourselves, I think our competitor was referring more, if I understood this properly, to other Portuguese language countries than it was referring to inside the country, but I say this again, we don’t speak for our competitors, I’m just trying to understand your question and address it.
Operator: .
Peter MacDonald - Griffiths, McBurney & Partners: I would consider this to be another good quarter and despite the caution that you refer to in Portugal, the consolidated guidance points to another good year, so performance-wise, everything seems to be fine, but your stock still continues to be ridiculously cheap and the main thing that accounts point to in the reluctance to own it is really the fear of a diluted acquisition. I recognize this comes up every quarter but my question really is whether you can say anything to help alleviate some of those fears. Maybe an example would be would it be fair to say that you would not consider an acquisition at your current valuation because of that dilution or anything else you might be able to provide to help on that side of it. Thanks.
Louis Audet: This is an interesting question because it’s a question that keeps coming back and it goes to the definition of what is diluted and some folks have commented for example that the THTI acquisition was “diluted.” Our job is to find opportunities that will lead to profitable growth so ideally we’ll try to find something that’s accretive the first year and failing that, then we’ll find something that’s accretive the second year. So what I’m trying to say is that something may look diluted in the short term, our job is to find ways to make it grow so much that one year hence you don’t have to ask yourself what there is diluted, and I think our acquisition in Portugal is a perfect example of this and Pierre maybe you could remind us what the multiples were going in and what they are after one year and what they are after two years.
Pierre Gagné: When we announced the acquisition, when we announced it we took the last quarter annual lines, the multiple was in the 12 to 13 times EBITDA. After the first year of acquisition, so we acquired this on August 1, 2006, when you look at the August 2007, the first year of completion of the transaction, we were in the high 8 times multiple of EBITDA and when you look at this year, we’ll be at the low 8 multiple of EBITDA so the question that you’re facing is that any company that would acquire an asset, any cable company that would acquire the asset, whether it’s Comcast or us, will not do it at a price that is exactly what the current multiple. One thing we have to mention is that currently there are no assets for sale. There are essentially no assets for sale in outside Canada and you can see that the multiple and you can take like ZON for example or the US providers, that their multiples, their EBITDA multiples, are coming down. It’s clear that with the cost of capital raising that the [banyer] or the multiple that one would pay for the asset, would taper off or would reduce compared to what it was say two years ago strictly on the cost of capital. That being said, we’re mindful obtained for the low that one would achieve and we are taking into consideration the cost of capital. For example, the transaction of THTI, there’s an excellent growth fortunately from an EBITDA standpoint and what they’ve achieved in the last four years and when we announced this transaction was a high EBITDA growth year-over-year and we anticipate over the next few years to have an excellent EBITDA growth for this property and that’s why we paid a higher multiple than our current rating multiple. So this is a very interesting asset where we could see some other excellent opportunities over time so I think when you’re saying that, we understand how the market reacts and the concern but I think we’ve demonstrated post Cabovisao transaction that we should generate excellent results for our shareholders with an increased dividend, with increased free cash flow. We’ve increased net income. I think we’ve delivered on all these fronts. I think the shareholders I think have been rewarded from the concern that they have.
Louis Audet: I’d like to add one thing if I may to summarize both what Pierre and I have said. The notion that we would go out and blow our brains on an acquisition that the economics of which would not make sense within a few years is totally unjustified. It may exist but it’s not justified in fact and I think this is what Pierre has been trying to say.
Operator: Your next question comes from Vince Valentini – TD Newcrest.
Vince Valentini - TD Newcrest: I want to ask one quick one on Burlington Hydro and one on wireless. Burlington Hydro, you’ve mentioned is largely focused on large business customers, but obviously they have another business as well which is their MaXess in Toronto. Does that fit with your plans as well, because it’s our understanding that business loses money and there may be a quick source for you to get some EBITDA growth if that were to be shut down or perhaps sold to somebody else, and I’ll throw in my wireless one for you so you can think about it while you’re answering the first one. Looking at this crazy AWS auction that’s gone on in Canada, do you see any opportunities for Portugal coming out of that, and I would come at that from two angles, one would be do you have fiber that you can use to provide back haul services to any of the new entrants, either Cogeco or Toronto Hydro Telecom, and secondly, are there any better alternatives or options for you to do an MV&O or a wholesale agreement now that it looks like there’s going to be more carriers that you can negotiate with?
Louis Audet:  In trying to answer your question, the first one on WiFi, to tell you the truth, when we evaluated and placed our bid, the WiFi network was not a big consideration for us. It was very minor in our overall valuation of the business so we haven’t even thought about this, that’s how unimportant it is in our minds. It’s a question of perspective and that’s our perspective. Coming now to the question you asked about wireless, we would tend to agree with you that we with our existing network and with the complementary network of THTI would be in a position to sell back haul services to whoever and in fact already to sell back haul services to some of the incumbents and I imagine will sell back haul services to some of the newcomers as well on commercial terms and that remains to be explored and discussed in due time but clearly it’s an opportunity, and yes we would agree with you that should we ever come to the conclusion that we should have an MV&O, we will have one or possibly two more choices available to us to pursue that avenue should we ever reach that conclusion, which for the time being we have not reached, but as I said in the past, it’s not dogmatic. If it’s appropriate to change our mind, we will. 
Operator: Your next question comes from Dvai Ghose – Genuity Capital.
Dvai Ghose - Genuity Capital: First regarding Portugal, so if I can summarize the situation, the economy is weakening, you still have significant competitive activity including aggressive advertising between your two major competitors. You’ve taken the high road and have actually raised prices and reduced costs during this period with obvious margin improvement as a gain. But to what extent is this sustainable? Ultimately you need customers in order to generate cash flow. I understand you believe that the situation is transitory but it has been transitory for the last year and there’s no obvious sign it’s shifting so I’m just wondering whether you believe your pricing movements and your reduced advertising and so on is really sustainable.
Louis Audet: In terms of advertising, I wouldn’t say that we have reduced our advertising. What I would say is that we have worked on our processes. We’ve worked on our costs of acquisitions of programming. We’ve worked on being more efficient and hence delivering a service with lower unit cost. So that, it’s true, we have worked off. This is not an issue that will resolve itself in six months. This is likely an issue that will carry on for a while still, but while it’s inconvenient and not as nice as we would like it to be, we still think fundamentally in the long term this company has great inherent value because its serving a market, the economy of which will recover as economies of countries do recover once they’ve gone through a difficult period. You can’t just look at it in the short term. I think when you make an investment of this magnitude, $660 million, you have to view it and I’m sure you look at your own models, you have to view it the same way you would if you bought a building. If you buy a building, your cash flow, your model will extend to between 10 and 20 years and that’s the way we look at it when we buy a cable property. So you can’t just look at it short term but in the long term this is a market that holds great growth potential.
Dvai Ghose - Genuity Capital: Following on from Vince’s question about THTI and the WiFi business, I don’t think it’s lost to anyone that you’ve bought an asset, albeit on the business side primarily as opposed to a consumer side, but that’s bang in the middle of Roger’s territory. They’re obviously a larger shareholder and I would describe your relationship with them as perhaps being interesting. Is there any strategic rationale behind it as well as the growth issues that you spoke of earlier perhaps diversifying revenue? The fact that this is in Roger’s territory, is that irrelevant?
Louis Audet: None whatsoever. Our main focus is achieving profitable growth for our shareholders regardless of who they are. This was a great opportunity to provide business to complement our existing activities with a company that specializes and does extremely well at serving large business customers and has enjoyed unusually high growth in so doing and hence, this is great for our shareholders, so we did it.
Dvai Ghose - Genuity Capital: You’ve seen 3.7% year-over-year increase in home subs, the average over the last three or four quarters has been about 4% and yet your basic subscriber crowd in Ontario in fact is quite different, has been flat. There’s flat RGU growth in general and your penetration has gone down from about 62% a year ago to about 59% of home subs in Ontario actually taking your service so why is this when the competitive environment is so benign?
Louis Audet: I think our situation is not different from that of any other cable provider in North America. I don’t view this as a surprise.
Dvai Ghose - Genuity Capital: But nonetheless there are fewer homes taking pay TV services than there were a year ago. Why is this? And I agree, it’s not just you.
Louis Audet: I think the use of illegal equipment may be having an impact. We fear that there’s, and I’m not saying here it’s prevalent, but there are some re-used if you want of illegal equipment here and there. Let’s face it, the government of Canada has not seen fit after four years of representation of the various industry bodies whether wired service providers or satellite service providers, for tougher legislation and tougher action by lawful authorities, but it’s just not happening because our government has not seen this as something it wants to work on for whatever reason, and I won’t speculate on this right now, but clearly it’s wrong not to do what should be done but that’s the way it is.
Operator: Your next question comes from John Henderson – Scotia Capital Markets.
John Henderson - Scotia Capital Markets : Your CapEx was a little lighter than we expected, particularly in light of guidance. In order to reach guidance I think you need a 60% jump in Q4.
Louis Audet: To answer your question, the 275 will be really the top. We may be a little bit short there, but not by much.
John Henderson - Scotia Capital Markets : But you maintain the 275 for next year.
Louis Audet: Look, if it’s between 270 and 275, it won’t be 260, let’s put it this way.
John Henderson - Scotia Capital Markets : I was just wondering if the MaXess and the FibreWired acquisitions require some incremental CapEx.
Louis Audet: That was provided in the FibreWired and the MaXess in the 2009 budget, the 2008, what I could say is that in fact we have saved on some of the CapEx interestingly enough strictly by synergies because we have in for example I could recall a case in Windsor where we had the fiber for a customer that they were getting while we were in the process of closing the transaction and once we closed it we had the fiber already in place so we saved on that. So there’s already synergies on that front and if you look at the saving we did on the size of the acquisition, it was quite meaningful, when you compare it with the size of the acquisition. That was a win-win.
John Henderson - Scotia Capital Markets : Can you talk about revenue EBITDA contributions from those two?
Pierre Gagné:  We haven’t announced it so we will refrain until we announce it. You will understand why and I will be very blunt about it, it relates to Hydro Electricity Company that may come out over the next few months or years and you will appreciate that we wouldn’t want to use that as benchmark for transaction.
John Henderson - Scotia Capital Markets : Would these be in territory or more likely out of territory?
Pierre Gagné: As Louis said, we are looking in territory.
John Henderson - Scotia Capital Markets : In terms of the digital expansion in Portugal, I just wondered if you could talk about the incremental revenue per digital customer that you would be getting and also the extent of equipment subsidies that we’re seeing in deferred charges these days.
Pierre Gagné: I’m sorry, in Canada?
John Henderson - Scotia Capital Markets : No, in Portugal.
Pierre Gagné: In Portugal, the [Arpoo], I’m talking here regular price for the digital is about 7, 7.5 year olds [V18] included? Now with respect to the boxes barely, and it’s included in that amount that I’ve just given to you, it’s about € 2.75 [V18] included per box. We do not sell boxes or very little over there.
John Henderson - Scotia Capital Markets : The last question is just on dividends. I think last year and in this quarter you raised it a couple cents.
Louis Audet: That’s always an interesting question. Philosophically as we know, we believe in raising dividends, it might move by a quarter or something, but typically our board tries to raise the dividend as the success with the company increases.
Operator: Your next question comes from Tim Casey – BMO Nesbitt Burns.
Tim Casey - BMO Nesbitt Burns : Louis, could you talk a little bit about the major drivers of where the growth has been at THTI to your understanding over the last few years and how you think they will change going forward, presumably it has penetrated more customers. I’m just wondering how much revenue you think is there and there is some concern over the Ontario and Toronto economies and I’m wondering if you could put that risk in context for us, and second, switching gears to Portugal, could you help us understand why there was such a sharp improvement in the operating margin in the quarter? Were there cost buckets that you took out or was it just the scale affect to growth?
Louis Audet: With regards to THTI, essentially this is a company that provides for the most part data services to large businesses. That’s what it does. It does so extremely well, extremely efficiently, and at reasonable prices for the customers. Remember, this transaction has not yet closed, so I will be prudent with my comments, but THTI’s network is very underutilized and it has in fact in absolute numbers very few customers compared to the potential of businesses it passes directly and an even smaller percentage compared to businesses it could pass that are not that far from the network. So that’s why the growth should continue in the future, because in our view of things, it’s barely scratched the surface, basically. That’s in answer to the first half of the first question. The second half of the question is yes, it’s true that this transaction is exposed to the Toronto market and it’s wonderful because it’s a great marketplace and we’re very honored that we can have an opportunity to serve it. With regard to the margin in Portugal, I’ll turn it over to Pierre in a minute but as I indicated earlier, we have been spending time on trying to reduce our costs and there’s always a delay between the time you start doing so and the quarter where you actually benefit from that but it was clear in the first quarter that this was going to be a difficult acquisition year so we perhaps invested more effort on the cost side and now lo and behold here they are and we’re very happy. That would be part of the answer and I think Pierre would probably like to add to that.
Pierre Gagné: Yes. Beside the, as Louis mentioned, the improvement in terms of processes, there was the equivalent of about 1% on the margin in favorable adjustment but it’s in the consolidated numbers and as we disclosed, it’s not really material in the big scheme of things so that helped the margin for the quarter so you could assume about 1% in terms of the favorable adjustment which wouldn’t come back in Q4.
Operator: Your next question comes from Chris Li – Merrill Lynch Canada.
Chris Li - Merrill Lynch Canada : First in Portugal, the cable TV subscribers that you are losing in Portugal, do they tend to be lower [inaudible] customers or are they average customers?
Louis Audet:  They’re clearly more price-sensitive customers. They have been, clearly. I think, if I may, I think this is an interesting question. I think this is part of the competitive evolution that Canada has already gone through, i.e. providers announce very aggressive promotions because they’re trying to put their best foot forward and they assume that they are offering the best promotion and they don’t necessarily think, “Gee, the other are going to match this anyway.” So what happens is that they work on the immediate benefit of gaining a customer and in fact the raw acquisition numbers of our competitors last quarter and I would suspect for the coming quarter, the raw acquisition numbers will be good, but EBITDA growth numbers will be a real disappointment. This is a personal opinion, now, don’t get me wrong, I have no inside information. I assume that the EBITDA numbers will probably be disappointing and what happens is that when the promotion is too aggressive, what you induce is a musical chair. Customers leave one company and go to the next and get a six month promotion and when that runs out they jump back and they do back and forth and some of them sign a one-year contract but guess what, good luck in claiming the last six months of your contract, and things like that. That’s how a market evolves, i.e. people start doing things like that and eventually they look at their churn numbers and eventually think it through and say, “Yes, I guess this was a short term benefit and all these customers are bouncing out now once their initial promotion period is over, so I guess we won’t do it again.” So we all do more or less the same mistakes and we have and perhaps other people are so that’s part of a collective learning process and we went through that in Canada and I think we’re going through that in Portugal. Now this is just a personal opinion, by the way.
Chris Li - Merrill Lynch Canada : Do you know if you’re losing roughly the same number of customers to ZON and PT? What I fail to understand is, PT launched their new satellite TV service I believe in mid-April. Does that have an unusual major impact on your basic cable subs?
Louis Audet: I think the launch of the new satellite service has had more of an impact but I say that in a very guarded way because we’ve only lost 1,000 so it’s not a huge number to talk about.
Chris Li - Merrill Lynch Canada : Finally, on Portugal, can you remind us of the pricing differential between your most popular triple play plan versus the existing promotions that PT and ZON are offering on their triple play bundles?
Louis Audet: We might be a tad under but we’re pretty evenly matched right now.
Pierre Gagné: Typically we’re within, and it’s plus or minus, 2% or 3% as a total price so it could be €1 €1.5 less. Some other packages could be €1more, but it’s not statistically significant for the consumer.
Chris Li - Merrill Lynch Canada : It’s not as bad as, I remember early last year.
Louis Audet:  Not at all. In fact , perhaps I wasn’t explicit enough, but what we have witnessed this quarter in terms of pricing dynamics is very similar to what we witnessed in the prior quarter and the prior quarter was a market improvement compared to the two prior quarters. 
Chris Li - Merrill Lynch Canada : I have a couple of numbered questions. Do you expect to provide a breakout of the RG growth and EBITDA by segment and country for your ’09 guidance in the next quarter?
Pierre Gagné: No. When an investor is buying the share of the company, he buys the company as a whole and it becomes a process internally and it becomes too much so we prefer to go in a consolidated basis and then we carry on like this I think we’re providing one of the most detailed guidance on the street and I think we were too detailed in the past and I think we have to, we would deliver on our results and even better than what we’ve put forward in terms of revenue, EBITDA, and so on and so forth, so I think that I understand that more is better but I think we’re providing sufficient guidance right now.
Chris Li - Merrill Lynch Canada : Have you put through any rate increases in Canada and Portugal in fiscal Q3 and fiscal Q4 of this year? I’m looking at the press release and I think the last --
Pierre Gagné: In Canada we did some price increase, yes.
Chris Li - Merrill Lynch Canada : Do you remember how much of a rate increase that was and when that took place for Canada?
Louis Audet: There is a comment in the press release, I don’t think we can say much more than what’s in there.
Pierre Gagné: The details are there. There are two successive waves of rate increases and there’s a direct comment as to how much the rates went to.
Operator: Your last question comes from Rob Goff.
Rob Goff - Haywood Securities : As a fan of THTI, I was encouraged to hear your comments “barely scratch the surface.” Could you look at the drivers that you see in scratching the surface via adding more scale, new applications, or broadening of the target markets?
Louis Audet: The way we viewed it is they already have an expanding network serving a very client-rich and rich client geography but they don’t have many customers, but the number of customers has been growing nicely and of course the revenue and EBITDA have been growing extremely nicely, so there’s huge potential to sell more on the existing network to new customers, to new large business customers, and that, in our opinion, is the focus. These people have done extremely well and with our support will continue to do well.
Pierre Gagné: I would like to thank everybody for attending the call. Alex and myself will be available if you have additional questions. Thank you very much for attending the call. Have a great summer and we’ll see you sometime in mid to late October for our Q4 results. Thank you again and have a great summer.